Operator: Good morning. This is Austin Neri, a member of the IR team for Goldman Sachs BDC, Inc. and I would like to welcome everyone to the Goldman Sachs BDC, Inc. Second Quarter 2022 Earnings Conference Call. Please note that all participants will be in a listen-only mode until the end of the call, when we will open up the line for questions. Before we begin today's call, I would like to remind our listeners that today's remarks may include forward-looking statements. These statements represent the company's belief regarding future events that by their nature are uncertain and outside of the company's control. The company's actual results and financial conditions may differ possibly materially from what is indicated in those forward-looking statements as a result of a number of factors, including those described from time-to-time in the company's SEC filings. This audio cast is copyrighted material of Goldman Sachs BDC Inc. and may not be duplicated, reproduced, or rebroadcast without our consent. Yesterday, after the market closed, the company issued an earnings press release and posted a supplemental earnings presentation, both of which can be found on the homepage of our Web site at www.goldmansachsbdc.com under the Investor Resources section, and which include reconciliations of non-GAAP measures to the most directly comparable GAAP measures. These documents should be reviewed in conjunction with the company's quarterly report on Form 10-Q filed yesterday with the SEC. This conference call is being recorded today, Friday, August 5, 2022, for replay purposes. I'll now turn the call over to Alex Chi, Co-Chief Executive Officer of Goldman Sachs BDC.
Alex Chi: Thank you Austin. Good morning everyone, and thank you for joining us for our second quarter earnings conference call. I'm here today with my Co-Chief Executive Officer David Miller. Gabriela Skurnik, our Chief Operating Officer, and Carmine Rossetti, our Chief Financial Officer. I'll begin the call by providing a brief overview of our second quarter results before discussing the current market environment in more detail. I'll then turn the call over to David to describe or portfolio activity. Before I hand it to Carmine to take us through our financial results. And finally, we'll open the line for Q&A. So with that, let's get through a second quarter results. Net investment income per share was $0.49, excluding the impact of asset acquisition accounting, in connection with the merger with MMLC adjusted net investment income for the quarter was $0.45 per share. As we announced after the market closed yesterday, our board declared a $0.45 per share dividend payable to shareholders of record as of September 30, 2022. Net asset value per share decreased slightly to $15.53 per share as of June 30, a decrease of approximately 1.7% from the end of the first quarter. This decrease was primarily attributable to overall credit spread widening that reflects the current market dislocation and more volatile investment environment and not any significant credit events within the portfolio. With respect to the market environment in the second quarter, we continue to navigate market volatility highlighted by higher rates as a result of dramatic tightening by the Federal Reserve in response to inflationary forces. Nonetheless, our portfolio has some defining characteristics that help insulate it against the impact of these macroeconomic forces. GSBD is characterized by high selectivity resulting from a stringent due diligence process that is biased toward invest in non-cyclical businesses that have strong pricing power, coupled with the management capabilities and expertise to navigate an economic slowdown. While mark-to-market changes are reflected in our filler value calculations this quarter, we want to remind investors that our portfolio is predominantly floating rate in nature in contrast to the broadly syndicated loan market, the vast majority of our book has financial maintenance covenant protections. In addition, the pressures of significant food and gas price inflation has been especially pronounced for individual consumers. But we are focused on lending to more non-cyclical business to business sectors. It's now been nearly five months since the BDC platform was integrated into the broader, direct lending business within the Asset Management Division of Goldman Sachs. The benefits of this integrated private platform were especially highlighted this quarter at a time when General M&A volume in capital markets activity faced headwinds. Access to a larger funnel of potential transactions, while being viewed as a natural capital solutions provider is especially important at a time when financing exits are limited, and the broadly syndicated loan market is largely shut. We had a few deals this quarter that we sourced through our contacts in the Goldman Sachs investment banking franchise, including enterprise DB and Rubric. To highlight one of those transactions, Rubric is a software company that had no debt on the balance sheet and was contemplating an IPO until public equity market conditions led to the deferral of those plans. The Goldman Sachs investment banking team, which has a close relationship with the company referred management to us, and we were able to provide a loan that provided additional liquidity for growth at an exceptionally low loan to value. This example not only speaks to the power of our platform, but the broader theme of volatile macro conditions, making IPOs and exits difficult, which is driving borrowers to direct lenders like us to help fund growth. Fidelity payment is another transaction that we sourced to the broader Goldman Sachs private credit platform, and demonstrated the breadth of relationships that we have built over time, with both the sponsor and the company. Additionally, the long standing relationship with fidelity sell side advisor was instrumental in getting our team initially involved in the transaction. The sponsor and the company agreed quickly to use this as a financing partner due to our team's knowledge of the business and the payments industry. We are able to deliver a tailored financing solution at a low loan to value in order to support the acquisition of the company and help fund future growth during volatile market conditions. This example points the platform's ability to leverage industry expertise and relationships across the bar team in order to execute on a transaction within a short timeframe. We again supported our shareholders through this period of volatility by waiving a portion of our investment advisory fees. As previously stated, while we intend to voluntarily waive income based incentive fees through and including the fourth quarter in an amount necessary to achieve at least $0.45 of quarterly adjusted net investment income per share, we believe that in the second half of this year, we may be able to achieve this level of earnings without additional waivers. With that, let me turn it over to my Co-CEO David Miller.
David Miller: Thanks, Alex. During the quarter we originated 366 million in new investment commitments 197 million in new investments to six new portfolio companies, and 169 million of follow on investments to 12 existing portfolio companies primarily to finance M&A activity. Our new investment commitments remain mainly focused on the most senior parts of the capital structure, with 358 million under the 366 million in first lien senior secured loans. Sales and repayment activity totaled 106 million, driven by the full repayment of investments by two portfolio companies. The sales and repayment activity was more muted this quarter, as overall capital markets activity slowed in line with the increased volatility we've seen in the capital markets. Turning to portfolio composition, as of June 30 2022. Total investments in our portfolio were 3.6 billion at fair value, comprised of 97.4% in senior secured loans, including 88% in first lien 2.8% In first lane last out unit tranche and 6.7 unsecured second lien, as well as a negligible amount of unsecured debt in 2.4%. In a combination of preferred and common stock and warrants, we also had three sorry, 569 million of unfunded commitments as of June 30 bringing total investments and commitments to 4.2 billion. As of quarter end, the company held investments in 129 portfolio companies operating across 38 different industries. The weighted average yield of our investment portfolio at cost at the end of Q2 was 8.6% as compared to 7.9% in the prior quarter. The weighted average yield of our total debt and income producing investments at amortized cost increased to 9% at the end of Q2 from 8.5% at the end of Q1. Turning to credit quality. The weighted average net debt-to-EBITDA the company's and investment portfolio decreased to 6.0 times at quarter end, as compared to 6.2 times from the prior quarter. The weighted average interest coverage of the companies in our investment portfolio at quarter end was 2.1 times versus 2.5 times in the prior quarter. Nonetheless, we continue to see both healthy, quarterly sequential growth in ALTM [ph] revenue and EBITDA. And finally, turning to asset quality, two investments were moved at non-accrual during the quarter due to repayment, and as of June 30, 2022 investments on non-accrual status amounted to 0.4% and 0.9% of the total investment portfolio at fair value and amortized cost respectively. I will now turn the call over to Carmine to walk through our financial results.
Carmine Rossetti: Thank you, David. We ended the second quarter of 2022 with total portfolio investments at fair value of $3.6 billion, outstanding debt of $2 billion and net assets of $1.6 billion. Our ending net debt-to-equity ratio increased to 1.25 times from 1.15 times last quarter, squarely in line with our target leverage ratio. Average net debt to equity for the quarter was 1.18 times as compared to 1.16 times in the prior quarter. At quarter end, 42% of the company's total principal amount of debt outstanding was an unsecured debt and $527 million of capacity was available under our secured revolving credit facility. During the second quarter, we closed an amendment to our secured revolving credit facility, which extended the maturity date from August 2026 to May 2027. Remove certain financial covenants and replace the LIBOR benchmark with a SOFR benchmark. Before continuing to the income statement, as a reminder, in addition to GAAP financial measures, we will also reference certain non-GAAP or adjusted measures. This is intended to make the company's financial results easier to compare to results prior to our October 2020 merger with MMLC. These non-GAAP measures removed the purchase discount amortization impact from our financial results. For Q2, GAAP and adjusted after tax net investment income were 49.6 million and 45.9 million, respectively, as compared to 50.2 million and 45.9 million, respectively, in the prior quarter. The decrease in quarter-over-quarter GAAP net investment income was primarily due to a reduction in accelerated accretion and prepayment fees as a result of lower repayment levels as well as an increase in interest expense. On a per share basis, GAAP net investment income was $0.49 and adjusted net investment income was $0.45 both unchanged from the prior quarter. On May 26, we announced the launch of an at the market or ATM equity offering program whereby the company may from time to time issue and sell common shares having an aggregate offering price up to $200 million. During the quarter ended June 30 2022, we issued approximately 124,000 shares at an average price of $18.17 per share, resulting in proceeds net of underwriting and offering expenses of 1.8 million. Distributions during the quarter totaled $0.45 and net asset value per share on June 30 2022, was $15.53 as compared to $15.80 as of March 31 2022. With that, I'll turn it back to Alex for closing remarks.
Alex Chi: Thanks, Carmine. As maybe known [ph] we regretfully announced during the quarter that Carmine was resigning from his position as CFO effective August 10 to pursue another professional opportunity. We wish Carmine a lot of success in his next career pursuit and thank him for his service to GSBD over the years. At the same time, we're delighted to welcome David Pessah to the position of CFO after spending the past 12 years here at Goldman Sachs, most recently, as the company's Principal Accounting Officer, responsible for oversight of fund accounting, financial reporting, and internal controls for GSBD. In conclusion, thank you all for joining us in our call. While we think the environment ahead may exhibit further volatility, we're confident in our unique and differentiated private credit platform and Goldman Sachs to provide many exciting investment opportunities for GSBD in the quarters ahead. We appreciate your time and attention today. With that, let's open the line for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Finian O’Shea with Wells Fargo Securities.
Finian O’Shea: Hi, everyone. Thanks and good morning. Can you touch on the cross platform Co-investing? I'm not sure if you gave that number, but the percent or quantum has cross platform deals this quarter in terms of your origination? And also remind us, are there certain parameters that you'll look at outside of risk adjusted yield, such as absolute yield, maybe pick covenants, that kind of thing that you most desire in the BDC?
Gabriella Skirnick: Thanks for the question. So this quarter, we did not have any cross allocated deals across the platform. We did have one in the first quarter, as we discussed on that earnings call. However, what I would say is that we did have a number of cross originated deals into the BDC, which is that we are able now to have the BDC draw from the full sourcing engine of the firm in a way that, you know is additive to the BDC platform, because it simply increases the funnel of deals that are available to the company. And so we did see a number of cross originated deals. And we were happy to we were happy to be able to allocate those deals to the BDC, because we do feel like they are going to be quite accretive to the portfolio and company over time.
David Miller: Hey Fin, it's David good morning, I would further say you asked about the investment appetite. I mean, look, what we're looking for in the BDC complex is squarely in middle market companies, they typically have maintenance covenants in the we like to orient around defensive industries that have protected cash flows. And so that's kind of how we think about what's appropriate for the BDC vehicles versus some or other drawdown funds or various other vehicles.
Finian O’Shea: Sure, that's helpful. Thank you. And just a follow up on software, recurring revenue software, specifically, a lot of those, what we see in the public sphere, the stock market, the unprofitable tech has sold off a bit. I think you have a pretty good lens into this historical focus on the BDC. Are you seeing any sort of crack or DK? And in the underwriting trajectory, is there stuff like higher acquisition costs, retention, business spend any of any of the above that's sort of an emerging challenge for that category?
David Miller: Look, we it's a great question. Thank you, Fin. We as you know have been very selective about the loans that we look at on a recurring revenue basis. In fact, if you look at a portfolio as a percentage of our portfolio has actually declined in the quarter, just given the lens that we have in the overall landscape. And so you remember, these, these businesses also have highly variable cost structures. And so in some cases, we've seen these companies pivot a bit. But again, just given how selective we’ve been about the types of recurring revenue companies that we went to. We have not seen any issues in our portfolio.
Finian O’Shea: Thanks. That's helpful actually one. One final bonus question if I may. Can you touch on your plans how you view the at the market offering program? I think you commenced this quarter.
David Miller: Yes, we started the at the market offering this past quarter. We expect anywhere from 10 to 20 million in any given open trading window when it's accredited to the BDC.
Finian O’Shea: Okay, that's helpful. Thanks so much.
Operator: At this time, there are no additional questions in queue. I'd like to turn the call back over to our speakers for any additional or closing remarks.
Alex Chi: Thank you very much for your time and for your support. And we look forward to reporting in future quarters. Thanks very much.
David Miller: Thank you.
Operator: That will conclude today's call. We appreciate your participation.